Operator: Good day everyone and thank you for participating in today’s conference call to discuss Command Center’s Financial Results for the Second Quarter ended June 24, 2016. Joining us today are Command Center’s CEO, Bubba Sandford and CFO, Jeff Wilson. Please be aware that some of the comments made during our call may include forward-looking statements within the meaning of the federal securities laws. Statements about our beliefs and expectations containing words such as may, could, would, will, should, believe, expect, anticipate and similar expressions constitute forward-looking statements. These statements involve risks and uncertainties regarding our operations and future results that could cause Command Center’s results to differ materially from management’s current expectations. We encourage you to review these Safe Harbor statements and risk factors contained in last week's earnings release and in our filings with the Securities and Exchange Commission, including without limitation, our most recent Annual Report on Form 10-Q and our other periodic reports, which identify specific risk factors that also may cause actual results or events to differ materially from those described in forward-looking statements. We do not undertake to publicly update or revise any forward-looking statements after the date of this conference call. We also note that on this call we will be discussing non-GAAP financial information. We are providing that information as a supplement to the information prepared in accordance with accounting principles generally accepted in the United States or GAAP. You can find a reconciliation of these metrics to our reported GAAP results in the reconciliation table provided in last week's earning release. I would like to remind everyone that this call will be available for replay through August 23rd starting at 02:00 p.m. Eastern Time today. A link to a webcast replay of this call also provided in earnings release which is also available on the Company’s website at www.commandonline.com. Any redistribution, retransmission or rebroadcast of this call in any way without the expressed written consent of Command Center is strictly prohibited. Now, I would like to turn the call over to the CEO of Command Center, Bubba Sandford. Bubba?
Bubba Sandford: Thank you. Good morning everyone. I want to thank everyone for your participation in this call and your interest in Command Center. First, I’d like to start off addressing our Q2 results. These are not what we expected. We feel that when we execute on our keys to success which we know are pivotal in our company, we can do better. And we intend to do better. There were factors affecting this and I'd like to take you through those similarly and I’ll talk in the business development section more about those and the actions we've taken to remedy those. The first is our field level or our prior organization. That the field services department and the stores. Fields services as all individuals that do not reside or employ a corporate, but they live amongst the country and they are tasked primarily with coaching, training and developing the brand. Along with the branches, we did not get the results that we expected from the field services and the branches. The second is the continued decline in the North Dakota market which impacted our stores. Third is our corporate relocation and the transition to Denver. That took longer than expected and we also spent time searching and evaluating acquisitions in the remaining time. We've taken aggressive actions on all these. We start some of these in Q1 and we'll talk about more those actions in the business development section. Despite that, we continue to generate cash, we continue to deploy that cash effectively in buying the stock back, completed an acquisition, Hancock Staffing. I'll talk more about that in later section. With that, we're going more onto the business development. I'll turn the call over to Jeff. Jeff?
Jeff Wilson: Thank you, Bubba. Good morning everyone. Our revenue in the second quarter of 2016 was $21.7 million compared to $22.8 million in the second quarter last year. The decline was driven by a 42% drop in revenue from our branches in North Dakota. For the quarter, North Dakota represented about 10% of our overall revenue, down considerably from approximately 25% during the peak of the oil flow [ph] and the 17% that we represented last year. Our branches outside of outside of North Dakota was relatively unchanged from last year. During the quarter we also recorded $477,000 in revenue from our newly acquired branches. This revenue is for the three-week period from June 3rd, the day of acquisition to the end of quarter. As you may recall from our prior call, Q2 is traditionally the beginning of our busy season, representing 22% to 26% of our full year business. As we discussed, Q1 is our lowest quarter, representing about 18% to 20% of our revenue and we're heading into Q3, which is our highest quarter revenue, historically representing 28% to 30% of our annual revenue, and in Q4 it cross back about the same level of Q2 of 22% to 26%. Our gross margin in the second quarter was 25.2%, compared to 27.1% in the same period last year, a decline of approximately 190 basis points. During the second quarter of 2015, we recognized a $250,000 benefit or 110 basis points due to an actuarial adjustment associated with the prior year workers’ compensation liability. The remaining 80 basis point decline is primarily due to the reduction in higher margin revenue from North Dakota, as well as a higher mix of business that did not meet the Company’s gross margin target. For the quarter, gross margins increased 0.5% or 50 basis points over the first quarter of this year, up from the 24.7 we had in Q1. Selling, general and administrative expenses in the second quarter decreased 4% to $5 million compared to the second quarter last year. You remember our SG&A in the second quarter of 2015 included a $250,000 valuation allowance associated with deposits placed on our former workers' compensation insurance carrier and $175,000 reserve for a note issued by Labor Smart. Operating income in the second quarter was $371,000, compared to $933,000 in the same quarter last year. The decline was driven by the change in gross margin got earlier. And net income in the second quarter was $274,000 or $0.00 per diluted share, compared to $530,000 or $0.01 per diluted share last year. EBITDA in the second quarter was approximately $500,000, compared to $1.1 million in the year ago quarter and adjusted EBITDA in the second quarter was also approximately $500,000 compared to $1.6 million a year ago. Our cash at the end of the second quarter was $2.2 million, compared to $7.6 million at year end. I want to take a minute to walk through the cash flow for the year. We've used in total of about $5.4 million in cash this year. Approximately $2.4 million of that was for our acquisition and payment of loans assumed in the acquisition. In addition, we have repurchased approximately $900,000 in our common stock and our stock repurchase plan. Another $1.1 million relates to the seasonal increase in the account receivable which goes along the seasonality of our business we discussed earlier. The remaining $1 million has been used to pay down our improved workers compensation wage and tax liabilities in the normal course of business. As I mentioned, we’ve continued our aggressive stock repurchase program, and during the second quarter we repurchased 1,660,627 shares of our common stock or almost 3% of the outstanding shares for a total cost of $660,000, resulting in an average price of $0.40 per share. There is approximately $2.7 million remaining under our $5 million stock repurchase plan. Our debt balance at the end of the quarter was approximately $400,000 compared to approximately $500,000 at the end of 2015. With that I'd like to turn the call back over to Bubba.
Bubba Sandford: Thanks Jeff. As I mentioned, I'd like to return to couple of the main points I talked about earlier. First, we made significant changes in the organization. We took approximately eleven steps, measured actions toward direct issues that we felt could be addressed or effected, remedied from Q1. And these actions, some of which -- I'll take you through a range, everything from evaluating personnel and all costs and anything else associated with the organization that we felt was either not adding value or could add value in a greater capacity. We made significant changes in our field. We didn’t get the response that we wanted from our field. We made significant changes effecting the field personnel, including eliminating numerous positions. We’re also eliminated positions and costs at corporate. These costs on an annualized basis will result in hundreds of thousands or dollars, but they will take some time to come to fruition over -- on an annual basis. In addition, in these changes, we realigned the organization to be flatter. We find our success is great and very flat close to the branch. Any good company tries to be as flat as possible. We spoke with a Company recently and they have eight layers, and that’s as flat as they can get. We believe we can be flatter than that, and we are much flatter and we find our ability to execute on our keys of success and cost advances is greater, the flatter we are. In our relocation to Denver, this hits challenges in the way. I think in my expectations I said that we would be fully through this and by now was probably too early [ph] but obviously you want to set high goals. But keep in mind we haven’t even been in Denver for full year, and we only brought five people with us. So we're in that process of rebuilding the team and we're getting very close to having a staff here that can deliver the service level to the branches that we want. Now that was a significant challenge, but we knew we're an organization that is willing to take big challenges in the short term for the benefit in the long term. We are reaping that benefit even though it took some effort. The talent pool in them for much we can build our service level team is greater and we had moved here -- to allow us better able to train our branches. We are in the midst of our first training class here with nine branch managers, and this will also help supplant the field personnel. Our ability to train the branches and control the quality of the training here rather than out in the field is much greater, and we're seeing that effect immediately, in the interaction and education of the branches. We talk in the past about constantly evaluating acquisition sand deploying our cash in a shareholder value added manner. We recently completed the acquisition of Hancock Staffing, which has store in Oklahoma City and Little Rock. This was an $8 million revenue acquisition. As we said, we've always been patient and very diligent in our search, and I believe our patience paid off. We have successfully integrated this acquisition, and we have retained all the key personnel. As we've always said in evaluating acquisitions we look at price and the ability to integrate. So we feel that was a very valuable use of our cash, in addition with the stock buyback. Going forward, we know that when we execute on our key to fix debt, which will take you through here -- we're successful. And with the flattening of the organization and training here, we're going to be better able to execute on that. These are simple keys but they are pivotal to our organization. And as I said, we are able to take these branch managers that are here through this very intensively. And the first is what we talk about the selling good account. That's teaching the branches to sell to customers who value what we do, selling to customers that have good credit, dealing the customers within their credit. And then the second is always trying to increase the margin. And so that just means, we teach the branches to start high and negotiate low. But manage that price risk adjustment, look at the risk, look at the nature of the work. And then third is service with excellence. And that’s something we stress across the Board in every action that everyone takes, including myself, running the gamut from communications to any type of work related product. We know that when we execute on these, and in our ability to coach the branches on this, we find success. So as we go forward and generate more cash, we will look to deploy that cash and allocate that capital in five ways. The first as we talked about in the past is same store sales. We know that we will be increasing store sales, that goes directly to the bottom line and benefits the shareholders. The second is new store. We're going to continue to look open stores in areas of concentration, areas where we already have brand recognition, we have successful branch managers and we can maximize the travel and resources associated with those areas. Third is evaluating assets, and that includes the evaluating personnel as well as the stores. Any -- either of those where the value of that asset does not exceed the resource associated with having it, we have to evaluate, whether it's prudent to use the shareholder capital or keep, but constantly use that as our bar to measure. The fourth is acquisitions. While we closed on Hancock and improved our patience with work, we are going to continue to look potential acquisitions that will add value. And fifth is stock repurchase, provided our -- dependent upon our cash position and the price of the stock, we'll continue to evaluate repurchasing the stock. So in summary, we've made significant changes. We saw problems in Q1. At a flat organization, we did not wait. We moved on these very quickly, put restrictive measures in to impede the decline of the gross margin. Unfortunately, that problem is limited a little bit just sticking on the revenue, but we saw the market went from 24.7 to 25.2 just a significant trend upward for us from one quarter to the next. We've made significant change. We intend to grow and grow well as we always look and add value as we grow. We'll continue to deploy our cash and shareholder value added in the interim as we've done with the stock repurchase and acquisition. Our national accounts are stronger than ever and continues to grow. We believe we've taken the steps and encountered some challenge on the way in the near term, but in the long-term we're in a good position and the changes and decisions we made naturally will benefit shareholders on the long-term. With that, that concludes my portion. And I'll turn it over to for the Q&A.
Operator: Thank you. [Operator Instructions] And we'll first hear from Charlie Pine of Van Clemens.
Charlie Pine: A couple of questions. Can you be a little bit more on specific regarding what you're wringing out of the business over say the next 6 to 12 months in cost when you talk about positions being eliminated and apparently other SG&A you're talking about. In the hundreds of thousands, what is it? Is it the low or high?
Bubba Sandford: Well, obviously we hope it's in the high, but that's dependent upon a number of factors. As we say we relocated here when we brought five people. And in that process we're finding the correct mix of personnel at the corporate site. As we mentioned, when we relocated here we were in the midst of pursuing two acquisitions; and both took longer than planned. And one came to fruition and one didn’t. But at that time, they both looked highly probable and we had -- we wanted to make sure we could withstand that revenue support. So we'll continue to evaluate across. We do it on a weekly basis, on a regular basis, on a monthly basis and any cost that can be cleaned out of the Company, we will.
Charlie Pine: Do you think we'll begin to see the benefit of that in Q3 or is that not going to start to show up until Q4, Q1 of next year?
Bubba Sandford: Well, we saw some benefit in Q2 already, because our SG&A dropped from 5.2 down to 5. We'll continue on that path if we can. There is a necessary back office support cost to support the branches, but we'll always evaluate the leanest way to do that. 
Charlie Pine: And give us just a little more detail on what you’re doing to change the integration and the activities of what you gain, your field services operation people and how you think that will impact the business over the next several quarters?
Bubba Sandford: I apologize. I couldn’t fully understand your question.
Charlie Pine: We talked about adjusting the structure and the content that some of the field services people that you had. I assume that, that has to do with, your moving around people that are more productive than others and you probably eliminated some field services people. But when do you think you will start to see a positive impact from some of the changes that you’re implementing along those lines?
Bubba Sandford: We’re seeing them. As you saw our gross margin went up in Q2. So some of these changes won't overnight. Some of these change slowly over the quarter, and the direct result was the gross margin going up. And we'll hope to continue on that trend, but we'll continue with the -- when you ask about the structure of its content, it's coaching and training the branches on our key success. It's not a complicated business model. It’s about execution and when we do it, we know we do it, we do it very well. 
Charlie Pine: And I guess the last thing would be -- are you seeing further [indiscernible] even in the North Dakota branches or has that appeared to have finally bottomed out for you?
Jeff Wilson: I think overall, as we've talked about -- this is Jeff. It’s a smaller percentage of our business. I think we’re starting to see the model. I don’t know that we're there yet. And so again, Q3 is a kind of typical quarter. It’s historically the largest quarter in North Dakota by far. So we'll have to wait and see what that impact looks like on Q3.
Bubba Sandford: And I just add that, we continue to evaluate those stores and those stores are still very productive stores. At any time again that, there are resources to support those stores that exceed the value, we will evaluate when we see them. But they're still very productive stores. They are just not going to see 2014 or as anyone -- and I’m -- we’re not going to see 2014 numbers. 
Charlie Pine: In other words, that base kind of what you talked about in the past. Even all the numbers were down quite a bit. Those stores are still running cash flow positive and they're still profitable for you?
Bubba Sandford: Yes. 
Operator: [Operator Instructions] Next we will hear from [indiscernible] 
Unidentified Analyst: I just want to say that I've been a large shareholder in this Company for a few years now, and I think that the performance of senior management and the Board of Directors has been in general, absolutely terrible. And I also think that if the Board is serious about filling institutional responsibilities, it should take immediate and aggressive steps to create shareholder value. I have previously expressed these frustrations and provided some suggestions to members of the Board in private, but given the Company's continued disappointing performance, I think it's appropriate that I now say something publicly. That’s all I have to say right now. Thank you.
Operator: [Operator Instructions] At this time I would like to turn the conference back over to management for any additional or closing comments.
Bubba Sandford: Thank you, everyone for your participation. We look forward to talking to you at the end of next quarter.